Operator: Good day, everyone, and welcome to today's BrightView Earnings Call. [Operator Instructions] Please note, this call may be recorded. [Operator Instructions] It is now my pleasure to turn the conference over to Mr. Chris Stoczko, Vice President of Finance and Investor Relations. Please go ahead, sir.
Chris Stoczko : Good morning, and thank you for joining BrightView's Second Quarter Earnings Call. Dale Asplund, BrightView's President and Chief Executive Officer; and Brett Urban, Chief Financial Officer, are on the call. I will now refer you to Slides 2 and 3 of the presentation, which can also be found on our website and contains our safe harbor disclaimer. Our presentation includes forward-looking statements subject to risks and uncertainties. In addition, during the call, we will refer to certain non-GAAP financial measures. Please see our press release and 8-K issued yesterday for a reconciliation of these measures. With that, I will now turn the call over to Dale.
Dale Asplund: Thank you, Chris, and good morning, everyone. Starting on Slide 5. We're off to a very strong start fiscal 2025, in fact, a record for both Q2 and year-to-date adjusted EBITDA. As we continue to transform this business, we believe our resilient business model and momentum in key underlying metrics has us well positioned to deliver another record year of adjusted EBITDA while continuing to reinvest in our business to support long-term profitable growth. As a result, we are raising our full year guidance on adjusted EBITDA, margins and free cash flow. None of this would be possible without the unwavering focus of our approximately 20,000 team members who deliver best-in-class service to our customers on a daily basis. Our outlook, both near and long term, is underpinned by the multiple initiatives underway, which we outlined in detail during our Investor Day back in February. These initiatives continue to be our North Star and are the key to delivering long-term sustainable profitable growth and creating meaningful shareholder value. But I want to be clear, while we've come such a long way, we are still early in our transformation and have only just begun to unlock some of the significant opportunities that lie ahead of us to drive this business forward, both near and long term. As I've said from day 1, this all begins with prioritizing our employees so they feel valued and are proud of the company they work for. We've reinvested into areas like consistent service hours, safety, refreshing our fleet and launching a frontline paid time off program, which I'll unpack in a minute, all of which continue to lead to reduced turnover and higher tenure. This translates into taking better care of our customers as we continue to see the momentum build across areas like customer retention and development-to-maintenance conversion, both key growth levers. It's simple: the happier our employees are, the better care they take of our customers and the more likely they are to partner with us long term. On top of positioning ourselves as both the employer and service provider of choice, we have significant untapped opportunities to better leverage our size and scale as the #1 player in the commercial landscape industry. We continue to progress on our fleet and procurement initiatives while centralizing key support functions and reinvesting into technology, which enables our branches to focus on their employees, customers and growth. Executing on these initiatives while strategically deploying our capital to support long-term profitable growth will further differentiate us from our competitors and ultimately position us as the investment of choice. Moving on to Slide 6. Given all the macroeconomic dynamics, I'd like to remind everybody of how well our business is positioned against these uncertainties. At the core of our business is a resilient diversified customer base largely with reoccurring revenue. Complementing this is our development business with a strong backlog, which presents future reoccurring maintenance conversion opportunities. Turning to labor. We believe we are the only national company in our industry with an E-Verify-ed workforce, which is a significant competitive advantage. Also, as I will discuss on the next slide, we have seen another quarter of improved frontline turnover. And because of that, our hiring and training needs continue to decrease. Our business is well positioned against inflationary dynamics. In both our maintenance and development segments, our pricing strategy mitigates against inflation of both commodities and wages. Additionally, 80% of our debt and a portion of our annual fuel consumptions are hedged. Regarding tariffs and trade, we believe our business is largely insulated, but it's a fluid situation that changes daily and can take months to unfold. While there's a lot of uncertainty in the macro backdrop, we believe we are very well positioned due to our resilient business model and remain focused on executing our strategy. Moving on to Slide 7. We continue to see sequential improvement in both frontline turnover and customer retention. This all starts with prioritizing and investing in our most important asset: our people. Another example of this is the launch of our paid time off program for our frontline team members, which will raise the bar for the industry standard and further set us apart from our competitors. Making sure all team members can spend time taking care of their families is an important part of our One BrightView culture. Additionally, customer retention rates continue to trend in the right direction, increasing 170 basis points on a trailing 12-month basis. We know that improved employee turnover drives higher customer retention and are encouraged by the improvement in these metrics as we position ourselves as a service provider of choice. Turning to Slide 8. As we look ahead, I'd like to remind everyone of our simple winning formula: prioritize our frontline employees, drives lower employee turnover, which leads to improved customer retention and ultimately leads to larger, more profitable branches. While we are still early in our transformation, I am more confident than ever that our winning formula is in motion and is the key to driving long-term profitable growth and meaning (sic) [meaningful] shareholder value. With that said, I will now turn the call over to Brett.
Brett Urban: Thank you, Dale, and good morning, everyone. Before I start with my prepared remarks, I share Dale's conviction, energy and enthusiasm in our transformation. We remain disciplined in executing our strategy and managing our business for the long term. Moving to Slide 10 to discuss our results. Total revenue for the second quarter was $663 million, which is an increase of approximately 3% when adjusting for the unwinding of BES and the sale of US Lawns in the prior year. As a reminder, this is the last quarter we will back out the results from these 2 noncore assets. We remain optimistic that we will return to land growth in the near term and remain highly encouraged by the underlying trends in our land business, notably the improvements in both employee turnover and customer retention, as Dale outlined earlier. Core snow in the quarter increased $22 million or 15% driven mainly by increased snowfall in our East Coast markets. Total snow is approximately flat when considering the unwind of the BES business last year. Switching to the development business. Revenue increased 5% as a result of the ongoing conversion of our high-quality backlog. As we continue to further align our One BrightView culture, we remain highly encouraged by the momentum in our conversion rates as this serves as one of the many levers that will contribute to sustainable top line land growth. Moving on to Slide 11. I want to elaborate on Dale's earlier comments about the resilience of our business. Approximately 60% of our revenue is extremely resilient and predictable, underpinned by our recurring contract revenue and a portion of our ancillary work. We also have price and scope flexibility, which gives us the ability to work with our customers to make sure we meet their needs while also covering any inflationary pressure. In our development business, we have a good line of sight into our backlog and are currently selling work that will be completed in fiscal 2026 and beyond. Finally, the more discretionary piece of our business is a portion of our ancillary revenue. This represents approximately 10% of our total revenue, excluding snow, of which we have already recognized roughly 1/3 through the first half of fiscal '25. Given our resilient revenue mix, we feel extremely confident that we will deliver results within our guidance ranges despite macro uncertainties. Turning now to profitability on Slide 12. We delivered record total adjusted EBITDA for the second quarter of $73.5 million, an increase of $8.6 million, an impressive 13% higher versus the prior year period. Adjusted EBITDA margins of 11.1% were also a Q2 record and expanded by 150 basis points, which marks another consecutive quarter of year-over-year margin expansion on a company-wide basis as we continue to transform this business for the long term. The adjusted EBITDA margin in our maintenance segment expanded 60 basis points driven by a more streamlined operating structure and the added benefit from core snow, partially offset by our reinvestments and prioritization of our frontline team members. In the development segment, adjusted EBITDA for the second quarter was $17.1 million. This represents a record Q2 for this segment. The adjusted EBITDA margin expanded 410 basis points, which was driven by continued success in converting our high-quality backlog and further cost efficiencies from operating as One BrightView. Turning to Slide 13. We are off to a great start. We delivered record EBITDA and EBITDA margins in the first half of fiscal '25 and expanded margins in both our maintenance and development segments by 100 basis points and 230 basis points, respectively, all while continuing to invest in key areas of the business. One more recent investment, as Dale mentioned earlier, is our paid time off plan for our frontline team members. This enhanced benefit speaks to our unwavering commitment to our crew members and their dedication to delivering best-in-class service to our customers. Now let's turn to Slide 14 to review our capital expenditures, adjusted free cash flow and leverage. As expected, we are focused on executing our capital allocation and fleet strategy, which resulted in record net capital spend for the first half of the year. These investments are a testament to our focus on reinvesting back into the business and signify our commitment to prioritizing both our employees and our customers. Adjusted free cash flow results for the first half were extremely strong when considering investments in CapEx. We spent $65 million more on fleet and equipment and still generated $67 million in adjusted free cash flow. Net leverage at the end of the second quarter came in at 2.1x, which compares to 2.4x in the prior year period. This was driven by lower debt levels, improved profitability and improved liquidity. The improved leverage dynamics enable us to have significant financial flexibility for investment, as evidenced in our recent $100 million stock repurchase program, which I will provide more details on the next slide. Turning to Slide 15. We remain disciplined on our strategic capital allocation to drive shareholder value. This is underpinned by the strength in our balance sheet, including ample liquidity and favorable debt structures with no long-term maturities until 2029. We continue to accelerate our fleet refresh strategy in fiscal '25, having ordered over 1,000 core production vehicles with the majority being delivered to branches in the back half of this fiscal year. Also, with the 3,500 mowers we have replaced this year, I'm now proud to announce that all of our mowers are within our target useful life. As a reminder, this strategy will lead to improved employee satisfaction, higher customer retention and reduced maintenance and repair costs. As mentioned earlier, we launched a $100 million share repurchase program in mid-March. The strength in our balance sheet, coupled with our current valuation and unwavering commitment to drive sustainable and long-term profitable growth, gave us the confidence to launch a new share repurchase program and return capital to shareholders in a disciplined and opportunistic manner. We believe our shares are significantly undervalued and that this is a strategic use of our capital. We executed against this program during the second quarter, and subject to market conditions and regulatory requirements, we expect ongoing execution going forward. From an M&A standpoint, we are actively managing our robust pipeline. Given the strength in our balance sheet and ample liquidity, we are positioned well to execute against our M&A strategy when the time is right. Overall, the proactive management of our strong balance sheet further demonstrates that we are well positioned to continue to reinvest in the business to support long-term profitable growth and drive meaningful shareholder value. Now let's turn to Slide 16 to review our outlook for fiscal '25. As Dale previously mentioned, we are raising our adjusted EBITDA margin and free cash flow guidance. Our line of sight and our confidence for the remainder of the year, especially in an environment where forecasts are being revised or pulled, highlights the durability of our business model. Let's hit on some of the details. We are raising the midpoint of our adjusted EBITDA guidance to $355 million, up from our original guide of $345 million. This reflects raising both our maintenance and development margin expectations as well as benefits from core snow. We expect maintenance margins to improve by 70 to 110 basis points and development margins to improve by 60 to 100 basis points. This reflects total margin improvement of 80 to 110 basis points, also an increase from our previous expectations. We expect a continuation of healthy cash flow generation driven by improved operating performance. Our outlook reflects our momentum on broad-based initiatives to reinvest in the business. We now expect to generate free cash flow of $50 million to $70 million while spending a record amount of CapEx as we accelerate our fleet refresh strategy. When normalizing for CapEx timing from fiscal '24 of $51 million, the midpoint of our adjusted free cash flow guidance is $111 million, the highest since 2020. For reference, our adjusted free cash flow guidance reconciliation appears in the appendix on Slide 25. Finally, we are maintaining our revenue range of $2.75 billion to $2.84 billion. This reflects snow assumptions of $205 million for the year while both land and development ranges remain unchanged. For reference, our revenue guidance reconciliation appears in the appendix on Slide 24. Before turning the call back over to Dale, I want to again express my appreciation to our BrightView team members. Without their support and commitment, along with their ability to adapt and proactively embrace our One BrightView culture, our ongoing success would not be possible. With that, let me turn the call back to Dale to wrap up on Slide 17.
Dale Asplund: Thanks, Brett. As I reflect on my first 18 months, I am so proud of how far we've come and even more encouraged than ever in how much opportunity we still have ahead. As I've said from day 1, this all begins with our people, and I couldn't be more proud of our dedicated team members who provide best-in-class service to our customers on a daily basis. Our One BrightView culture is resonating, and our focus on becoming the employer and service provider of choice has made significant strides, coupled with our focus on unlocking size and scale and allocating our capital strategically, will position us as the investment of choice. With that, operator, you can now open the call for questions.
Operator: [Operator Instructions] We'll go first this morning to Greg Palm of Craig-Hallum Capital Group.
Greg Palm : Congrats on the results here.
Dale Asplund: Thanks, Greg.
Greg Palm: It's been a while since we've been talking about a positive impact from snow, but it looks like that's kind of what drove a big portion of the revenue upside in the quarter. I guess the question is, did this take away some of the expected revenue from core land? Maybe unpack this if you can help us out with that.
Dale Asplund: Yes. Thanks, Greg. Good question. Let me start it off. We made a commitment that our message behind snow is going to be only good news from snow. So I think in our guidance this year that we issued earlier, we set realistic ranges and we didn't need it to snow a lot. Where we saw some snow, it created some positive momentum. So in fact, we're down here doing this call from our Destin branch in Florida. And we actually saw up to 6 inches of snow in this market as well. So it's snow in areas, Greg, that it doesn't typically snow. But let me let Brett unpack it a little bit because snow did impact, but it wasn't the only driver of all the improvements we've seen. So Brett, why don't you give us some details?
Brett Urban: Yes, Greg, great question. Page 10 of the presentation, if you look at our core snow, we had $22 million of increased core snowfall. That really was from Boston down through the Carolinas and, as Dale mentioned, even into Florida. It was really the East Coast markets that were materially impacted by that snow. And since there was snow on the ground, especially in the Carolinas on South, it limited our ability to put land in. So that had about a 2% impact in our land business in the quarter, about $6 million. So if you think about that, this would be our fifth consecutive quarter of that land -- core land improvement where you date back to last Q1 all the way through this second quarter where we're seeing that land shrink continue to get smaller if you normalize for that snow impact.
Greg Palm : Okay. Yes, perfect. That's what I was looking at. And then secondly, you announced this buyback. It looks like you already repurchased some stock in the quarter. How aggressive do you expect to be? I mean as it relates to M&A, I mean is it more attractive to buy your own stock back at these levels versus M&A? What are your thoughts there?
Dale Asplund: Yes. I'll start off, and I'll let Brett do the math. I think we put -- in the appendix of the deck that we posted, we put in there our activity. We launched the program in mid-March. In the back 11 days of March, we purchased roughly $1.7 million of stock at an average price at $13.11. I would say if our stock continues to trade at those significantly undervalued levels, we will continue to be aggressive in that opportunistic buying of our own stock. When it comes to M&A, obviously, we know the value of this company, as we illustrated at our Investor Day in February. We know what we're going to do over the next several years to keep making this company better. So we're going to buy our stock back as long as we're dislocated from the market. And when the market reacts the way it's reacted with all the noise, we're going to take that as an opportunistic time. Now there's going to be positive that comes out of the administration's change. We know we're hearing a lot on trade and tariffs right now. But we believe eventually, we'll hear more on goodwill and some bonus depreciation. And obviously, those benefits that could come in the form of cash flow will make us relook at how we're going to spend that money. The good news, Greg, we can do both. We can continue buying our shares opportunistically and not be afraid to do some M&A if we find the right deal. So we have positioned this business so well. In fact, as we exit Q2, we have $140 million of cash on our balance sheet. So we're in a position that we don't have to make that decision. The stock stays dislocated, we're a buyer. We're a buyer all day long because we know the value of this stock should be well above $20. And if there's a deal that we -- should be done and it makes sense from an M&A standpoint, we are positioned from an operations team to be willing to absorb it. But Brett, do you want to add anything?
Brett Urban: No, I was just going to add that our balance sheet is in the best spot it's ever been. Our leverage is at 2.1x. As Dale mentioned, we have cash available to do both the share repurchase and, if the right deal came across our desk, cash to do acquisitions. And in our guidance or updated guidance for cash flow, we're assuming we're going to spend a record amount of capital this year at about $190 million net capital to continue our fleet refresh strategy, which is critical to making sure our employees are taken care of, and then in turn, they can take care of our customers. So our balance sheet is in a position where we can really do all 3. We can continue to invest in our fleet equipment mower strategy, which we're doing -- actively doing every day. We can continue to buy back our shares, as Dale said, at significantly undervalued prices. And when the right deal comes across our plate and it makes sense for us to do it, we have cash to do M&A as well.
Operator: We'll go next now to Bob Labick at CJS Securities.
Bob Labick : My congratulations as well on a great quarter.
Dale Asplund: Thanks, Bob.
Bob Labick : Sure. Yes. So one question. You touched on this briefly in your prepared remarks as well. I think it was Slide 7. But one question we're constantly getting is, what is the impact on availability of labor and cost of labor given this political environment, deportations, whatever you want to call it? Can you talk more to like kind of real-time labor trends and how you're dealing with it? Obviously, you're doing a lot for your employees and your retention is improving, but maybe a little more color around how the macro is impacting availability and cost.
Dale Asplund: Yes. Great question. I mean obviously, it's a big topic right now. And I would just -- let me give you some color. We've seen another sequential improvement on our employee turnover reduction. And like I said, that helps us in so many ways, from onboarding them to training them to make sure our customers get consistent service. In fact, the best part of my day is when I can start off with our frontline teams doing Stretch and Flex in the morning, as Brett and I started off this morning here in Destin. And Bob, I think you know, our new employees wear orange vests for the first 30 days, and then we graduate them into our standard yellow vest. This morning at Stretch and Flex, we did not have one employee with an orange vest. That's just visually seeing what that employee turnover reduction continues to do to our business. Now we've given a lot of benefits to these people. I've said from day 1, the people that leave our branches in the morning, there's nothing more important to make sure they understand their value to service our customers. We've talked about the boots program. We've talked about 4 10-hour shifts to make sure they can get their 40 hours a week. We recently put in paid time off for these people. These people have families and they need to spend time with their families when there is a situation that they can take care of. So we're doing so much more. But on top of all that, we feel like they see the value versus just seeing it in the wages they get. Our wages, we just went through our annual merit cycle, they've normalized from those years of hyperinflation down to the more 2% to 3% increase level. So we feel great about where our labor is at. We feel great about our need. We just put in place our seasonal workers with our typical H-2B employees that we bring in for the season. But Bob, this year, because of our employee turnover reductions, we were able to get a record-low level of those employees. In fact, we had the opportunity to bring even more in, but we didn't need all the employees. In fact, the number versus last year is half of what we needed in 2024. So we are positioned so well, and all the levers we've said we pull are continuing to show value. But Brett, do you want to add anything?
Brett Urban: No, I would agree. We got awarded the most H-2Bs that we have in the last 3 years, and we took the least in the last 3 years. And that's really a testament to what Dale just mentioned, the investments back into our front line, whether it was boots last year or making sure we can work 4 10-hour shifts, getting them new trucks, mowers, equipment that's reliable and they go out in the job for. And then latest is the crew PTO. We just launched that program. It's another investment back into our front line. But that's continuing to drive that employee turnover down, which we know will drive customer retention up. And we know customer retention increases will lead to growing branches, and that's the winning formula. So we feel great about where we're positioned. From a labor cost perspective, Bob, we've said historically, we're in the 3% to 5% annual range of increases. We're actually seeing increases at or below the low end of that range right now. So real time, we're not really seeing any significant labor uptick really at the low end of our historic range. So -- but look, we're going to continue to stay focused on the right long-term decisions for this business. We continue to invest in that hourly workforce. If I remind you of last Q3, really 6 months into Dale's CEO seat here, we put $10 million more in Q3 of 2024 back into our frontline service hours. Q4, we put another $10 million more. Q1, we put $3 million to $4 million more. And this past Q2, if you look in our land -- in our maintenance results, we had some uptick in snow, but we invested $3 million to $4 million more back again into that frontline service hours to make sure our customers are taken care of with the quality they deserve. Good news with that is we're lapping that now from the investments we made last year, so Q3 should be more comparable from a true quality service hour standpoint.
Bob Labick : That's great. Really appreciate that color. And it seems like obviously, some really good results from these initial early innings of the programs you're putting in. So there's clearly more to come, too. So that's great. And then maybe just one other question, if I may. At the Analyst Day, you had a chart on your branches segmented with -- 40% of your branches were below 80% customer retention and 60% were above it. And obviously, you've just started to tick that metric up. But could you talk about the differences in the branches that are below 80% versus above 80%? Is there a structural difference? Or what are the steps you're going to take to get those kind of laggards up to or above the 80% mark, which will obviously improve all of customer retention for the overall business?
Dale Asplund: Yes. So as you saw in the deck, once again, we showed momentum in our customer retention across the business. On a trailing 12-month basis, we're up 170 basis points. Like I said at Investor Day, anything between 100 and 200 basis points for the year will be considered a success again. So continued momentum. It's not seasonal. It's not geographical, Bob. It comes down to our branch leader. The stronger our branch manager is, the more engaged they are with our customers, the more our teams take care of them and the more that we see customer retention rise. So we had our first annual meeting since 2018 last year. We have another one on schedule this year. We're going to continue to focus on making sure every one of our leaders that runs one of our facilities understands how important communicating with our customers, good and bad, and working with our employees to communicate with our customers is so that we can drive retention. We feel like we're just getting started on this journey. Last year was the first positive uptick we've seen since going public, as we showed at Investor Day. And all we're going to keep doing is keep focusing on the branches that are underperforming and make sure that team understands the importance of communication and doing what we said we're going to do. Brett, do you want to add anything?
Brett Urban: No, I would just add that we're excited, Bob. We're excited over here on this side of the table. Like Dale said, we're early in the journey. We still have a lot of room to go for customer retention improvements. We have a lot of room to go in growing this business. And even with that in the early stages, we're posting a record Q2, a record first half of the year. This will be a record full year EBITDA, EBITDA margin for us. Free cash flow conversions are north of 30%. So we feel great. We feel like we've had a great quarter, we feel like we're off to a great start to the year, and we're hyper focused, like Dale said, to make the right long-term decisions for this business that will drive that customer retention and other metrics back in the right spot for long-term sustainable growth.
Operator: We'll go next now to Tim Mulrooney of William Blair.
Luke McFadden : This is Luke McFadden on for Tim. Maybe I want to start out here on the guide. Can you talk about how much of the $10 million increase in your EBITDA outlook was driven by the stronger-than-expected snow revenue in the quarter versus a stronger outlook for the second half of the year?
Dale Asplund: I'll start off, and then I'll kick it over to Brett, Luke. As Brett said, we had a good snow year, and snow news is good news now. So we were up $22 million. And if you translate that, it should be about $4 million to $5 million of incremental EBITDA. For the quarter, we reinvested most of that back into our frontline team. So when you look at the increase that we're putting out there for EBITDA for the year, it's really driven off the overall margin expansion that we're seeing in the business. In fact, when you look at everything we've done on a trailing 12-month basis right now, we're at $339 million of EBITDA. So we feel that's a $15 million improvement in the first 6 months. There's no reason we're not going to get that same $15 million benefit. That's what drove us to up our midpoint of our guide from $345 million to $355 million on adjusted EBITDA. So this was not a result of snow. If snow gave us anything, it gave us a little bit of benefit to reinvest back into our frontline teams here in the second quarter. But it's not snow driving our uptick. It's the overall performance of both maintenance and development. But Brett, go ahead and add.
Brett Urban: No, I would agree. Look, snow, it was good for us. It did come with a little bit of an offset with land, as we spoke about earlier in the call, about $6 million land impact. But overall, it's really the unlocking of the size and scale of the business. It's our fleet strategy that's starting to go into practice. It's centralizing our procurement initiatives that we talked about during Investor Day. We're putting technology into the business. We've streamlined our operating structure. We've done a lot of really underlying things in the business, Luke, that's driving margin expansion in both our maintenance and development segments, not only in the first half of the year but in the back half of the year. That's the main driver of raising our guidance. Snow helped, but it helped, like Dale said, to allow us to reinvest them back into the business.
Luke McFadden : That makes sense and great to hear. And then maybe just switching gears here, with all the recent headline news related to tariffs and a more uncertain macro outlook, I was hoping you could just update us on how your conversations with clients have been trending, and maybe any color as it pertains to discretionary spending levels like enhancement revenue just given the current macro environment that we're in.
Dale Asplund: Yes. Thanks, Luke. What I would say is we put a big focus on driving more customer engagement. In fact, as we sit at the end of Q1, we have more paper out on the street for quotes for customers to do work, both enhancement work, ancillary work, than we've had any time in the history of the business. Obviously, there's a lot of unknown. We left our revenue range wide at this time of the year. We didn't change it, but we feel great. There is hesitation. There's a lot of companies that may be impacted much greater than what BrightView will be impacted by trade and tariffs. But right now, we feel great about what's out there. Every day, this seems to change. And our customers know we're here to support whatever need they have as we work through the back half of the year. But we can't control the macro. Everything we're going to do is to continue to focus on what's best for the business long term. Brett?
Brett Urban: Yes. No, on Page 11 of our presentation, we showed our resilient revenue mix, Luke, and that's where we feel like we're better positioned than most companies out there right now amidst a lot of uncertain times. But if you think about our revenue mix, 60% of it, very predictable recurring contract revenue base of our business. From a development standpoint, that 30% of the pie. We're selling work now that's going to be performed in 2026. So we're off and running into 2026 filling that backlog. And we've got a small piece of the pie that is more discretionary in nature. And could our clients feel a little impact from tariffs or something going on in the macro? Sure. This is our selling season for that 10% of the pie. Dale mentioned, we have more paper on the street than we've ever had in the past. So we feel good that we're taking the right steps to drive growth in that little piece of the pie, but we'll see. We'll see how it plays out over the next 90 days and what our clients choose to do. And from a tariff standpoint specifically, very minimal impact on our business right now. Great news is, Dale entered into the CEO chair 18 months ago, we got well ahead of our fleet strategy. We already ordered our trucks and mowers and trailers and other equipment well before any tariffs were announced. So minimal impact there. We think about our ordering of fleet next year. We're getting ahead of that right now as we speak. So we don't expect much unless something changes significantly to impact us on that front. And from a commodity standpoint, Dale mentioned, we hedged some fuel to make sure we mitigated any volatility in that commodity. And we're not really seeing much of an impact in our business around tariffs on other materials that we buy. So unless something changes dramatically, we should have very little impact to our business via tariffs this year.
Operator: We'll go next now to Stephanie Moore of Jefferies.
Stephanie Moore : I wanted to go back and maybe discuss on the snow side of your business. Obviously, a good year for that, and you were very clear about continuing that trend going forward. But maybe if you could give us an update in terms of shifting some of those contracts to more of a fixed model that could further reduce volatility in the future, so maybe any update there would be helpful.
Dale Asplund: Yes. I think I'll start off, and then Brett can add some color. But I think where we saw snow this year, we saw snow in markets that we're probably not going to see snow on a regular basis. So let's just use Georgia or maybe South Carolina as examples. Those are markets that are probably always going to be more time-and-material markets. But areas that hadn't traditionally seen snow, let's just say, Virginia kind of up towards New York City, they saw more traditional levels of snow that they've seen in the last several years. So I think, Stephanie, we're going to see a pretty good sales cycle this year as customers don't want the volatility that they felt as they were forced to pay some of that time and material in those key markets for us. So we're always going to have some of that time and material down in those southern markets where it doesn't always snow. But I think in those markets that are more on the border of getting snow annually, we're going to have a great progress as we go into the 2026 sales cycle for snow next year. That will happen over the summer, and we'll work through it. But Brett?
Brett Urban: No, I think you hit it right on the head. It's about 2/3 of the business used to be fixed, but as of last year, it's about 2/3 that were variable. So in the guidance, Page 16, we put $205 million of snow this year. So 2/3 of that this year is essentially variable snow. But we said we are going to be diligent when years where it did snow, like this year on the East Coast, as Dale mentioned, Virginia up to New York City, that we would be diligent in going back to our customers and getting more fixed. So we're in the middle of our sales cycle really starting now through the end of the summer for snow. We'll be able to provide a much better detailed update on that probably on our Q4 earnings call.
Stephanie Moore : Absolutely. Understood. And then maybe I think the conversations around inflationary pressures has picked up a little bit from here. So if you could talk a little bit about what you're seeing from an overall inflationary standpoint, particularly on the labor front and expectations kind of going forward in terms of inflationary pressures and any kind of mitigating efforts that you have.
Dale Asplund: Yes. Like I said, Stephanie, earlier, I think our labor, we'll start with that, call it, 2% to 3% increase in our frontline crew. So I think it's a good position that puts us able to offset that as we work to service our customers and renew their agreements annually. I would say on the commodity side, one of our largest suppliers who recently reported talked about some of the deflation that they've seen in critical materials for us like PVC piping and grass seed, those have been positive for us. And then we've seen very minimal increases in some of the other components that we need to service our customers. But I would just say, as of now, we are in a great position to be able to deliver what we've committed to our customers for the price that we've committed to them for. So we're positioned well. Our employees are more engaged than ever. We're in a position that we can get this business rolling. The unknown in the economy is not a tailwind for anybody right now, but that will work its way out. But Brett, do you want to add anything?
Brett Urban: No, I would just add, I know we've said this before, we rarely lose a customer due to price. We will work with our customers to stay within their budgets, to meet their needs if there's any major macro change in inflationary pressures. So that's first and foremost. And like Dale said, the more we take care of our employees, they'll take care of our customers. And the more we take care of our customers, that gives us the ability to work with them. If there is any type of major inflationary uptick, we'll work with our customers to make sure we meet their needs.
Stephanie Moore : Absolutely. And then just lastly for me, as you noted and we talked about on this call, there's certainly an uncertain macro environment. But at the same time, I think that you've called out a lot of your own company-specific initiatives to ultimately deliver mid-single-digit organic growth. So can you talk about just your level of confidence in your ability to achieve that target that was laid out in what might be maybe a less constructive or more negative macro environment?
Dale Asplund: Yes. So there's things we can control and there's things that obviously our customers have to make decisions on. We feel we're positioned to grow our business in the back half of the year, like we've commented, somewhere around 1% to 3% for our land business and 3% to 6% for our development business. I feel like we're in a good spot with development. A lot of that work is underway, and it could just be a little bit of a timing, but we feel we'll fall within that range. On the land side, like we've said a couple of times now, we are positioned well for the amount of quotes out, but it's our customers' decision. So you could see an impact on that 10% of discretionary spend. Is it a timing impact from April to May? Or if these trades and tariffs don't get resolved throughout the summer, is it an avoidance in the spend? So I would just tell you, Stephanie, we're going to grow this business at some point. Whether it's in April or whether it comes down to Q4, we are focused to doing all the right things long term because our goal is what we presented for 2030. It's not just the 2025 year. It's the long-term growth that we're going to have overall for the business. And all the metrics, customer retention, development to maintenance conversion, all that's trending in the right area. We just have this noise out there in the macro. And we consider ourselves lucky because we have a great, very resilient business that we're managing active corporate campuses all across this country, HOAs that have a living organism that we have to take care of. So we feel great with that. But as part of our business, people do have discretionary spend, and they're going to try to make decisions off what they have to spend based on their overall business. But we're going to grow this business. It's just a matter of which month it kicks in. Everything is positioned. And if we didn't have this noise, I feel 100% confident with what we had committed to.
Stephanie Moore : Really appreciate it. And just for what it's worth, based in Nashville here, we've had 3 consecutive years with snow in January. So maybe it's becoming a little less volatile on our side, but I appreciate the time.
Operator: We'll go next now to George Tong with Goldman Sachs.
George Tong : Your full year guide for core land growth, excluding the impact of BES and USL, is up 1% to 3%. That implies a positive inflection in performance in the second half of the fiscal year since the first half of the fiscal year was down on a core basis. Can you elaborate on what you expect to drive this improved performance in core land over the next 2 quarters?
Dale Asplund: I think it goes off what we just talked to Stephanie about. Every time we continue momentum, our trailing 12-month customer retention is up 170 basis points, George, as you know, the more of our customers we keep, the more they're willing to spend money on ancillary work. We believe with all the quotes we've done for customers and the engagement our customers are showing us, we are well positioned to not only keep our book of business in the right spot for contract revenue but also drive ancillary revenue. But like everybody, we're not completely immune to the overall macro, and we've got to let it play out over the next couple of months. So we're in a position that we're going to grow this business. The question just is not if, it's when. But it all comes down to continuing to take care of our employees so they can take care of the customers, drive that retention, drive more development-to-maintenance conversion because we continue to grow that business and feed in as much ancillary work as we can and grow the ancillary part of our business. Whether it's irrigation or fertilization or tree work, we have so much opportunity to enable our branches to go after that work. So it's just a matter of timing, George. And look, I wish we didn't have this unknown that's happening out there, but we're not going to let it distract us from our long-term goal.
Brett Urban: Yes, that's right, George. We're so hyper focused on the long term. We're doing such good things for this business, as Dale mentioned, with how we're taking care of our employees, the recent launch of our crew PTO program, which gives our hourly employees a chance to spend time with their families or get paid if they're sick. Those things, those are important -- really important things to drive that employee turnover down, which will drive customer retention up. The other thing that Dale mentioned on is our development conversions. We strongly believe we have the best development team in the entire country. And as you think about converting that work from development into maintenance, we said this publicly before in 2023, really by dumb luck, we did about a little bit less than 10% of that conversion. In '24, first year as One BrightView, we were somewhere in the low to mid-teens. Now we're looking at trends north of 20% converting that business. So we're continuing to see momentum building in all the right metrics, whether it's employee turnover, customer retention, development and maintenance conversions. As Dale mentioned, we have the most bids on the street right now for ancillary enhancement work out there in our maintenance business. So we're going to continue to stay focused on making sure we're doing all the right long-term things for this business and really transform this business for the long term.
George Tong : Got it. That's very helpful. And then can you talk a little bit about how much pricing increased on a year-over-year basis this quarter and your ability to pass through any input cost increases to customers in the form of price?
Dale Asplund: Yes. So when we look at price, George, it's price and scope that we combine and we work with all of our customers. And we look at that each year within our customers to say, do they need more work? Do they need less work? And then what are we going to charge for it? How do we make sure we miss those budgets? But we've seen price capabilities with our existing customers that offset our labor inflation that we're feeling in the business. So we feel like we're in a position where we're not going to get headwinds that are greater than what we're spending on the cost side from price capability. The longer we keep these customers, the more they're engaged, the more they're going to want us to do more for them and increase that scope and be more willing to partner with us. And like we've said from day 1, George, route density is what we need. So keeping customers, selling new customers on those routes, that's how we drive overall profitability, not just trying to charge an existing customer more. It's about getting more customers within the same areas so we can get overall more benefit by having less windshield time.
Brett Urban: And George, we feel extremely confident sitting here today. That's why we raised our guidance on EBITDA by $10 million at the midpoint that if there is any type of inflationary pressure, we have the right formula to work with our customers to mitigate that to make sure, again, we take care of their needs first and offset any type of inflationary pressures. That's what gave us the confidence to raise our EBITDA and our margin guidance.
Operator: We'll go next now to Andy Wittmann of Baird.
Andy Wittmann : So I was just wondering about -- I mean cash flow is such an important thing, I think, in the investment thesis for people who are looking at your company, and so I wanted to just talk about the capital budget. Not so much for this year. Obviously, you've given guidance on that. But given that you're going to have such a young fleet by the end of this year, how you're thinking about 2026, I think it's a particularly interesting question now given that you do have tariffs and vehicle prices are potentially moving a lot. So not looking for '26 guidance, but I guess I'm looking for some help on the way to think about 2026 and if you expect that maybe you'll have to age the fleet a little bit more going into '26 if CapEx maybe is a little bit lighter because you're going to have a good fleet and maybe the prices are up. How are you thinking about allocating capital that way? Maybe if you could help us just like percentage of revenue, I know that this year is obviously elevated, but is next year so elevated, too? I don't know. You tell me.
Dale Asplund: Yes. Great question, Andy. So what makes me feel good is when I go out to our branches and when Danny and I walked the yard this week here in Destin, and his comment to me is our fleet is the best it's been since he's been here, that's a great thing for me. I feel like we are positioned better today than the day I got here in multiples. And yes, you are right. If we would have been forced to age our fleet 18 months ago, it would have hurt our earnings power and it would have hurt our customer service levels. I feel today we have the fleet that we can continue to provide service to our customers, whether it's our mowers or our production vehicles. So we're positioned very well. If we had to make a decision because tariffs or something happened to availability of fleet, we could do that. The one thing I would remind you is if you go back to what we had said at Investor Day, we feel great about the mowers, and Brett talked about that. We've refreshed our fleet on the mowers, which is great. We feel by this time, the end of this summer next year, all of our production trucks, if we go on our normal cycle, will be at a healthy level. And then by the end of the summer 2027, our trailers will be at that level. So we feel like we're on a good process as we go, and we're not even getting the residual benefit. This year, we're still selling trucks that are far too old for, call it, $0.05 to $0.10 on the dollar. But long term, we're going to see that uptick as we keep making the investments. But I think you brought up a great point. We have more flexibility today than we've had in many, many years when it comes to managing our fleet. But Brett, do you want to add anything?
Brett Urban: Yes, 2 things. One is, first and foremost, if you kind of look at the Page 25 of free cash flow, Andy, which is a great question, this business is going to generate cash. If you look on a normalized basis, we're north of 30% free cash flow conversion on our midpoint of our guide this year if you account for a little bit of timing there. We said during Investor Day that that's going to tick up to 40% free cash flow conversion over the next 5 years. This business will generate cash, and we're going to spend that cash. We're going to deploy that capital, like you saw in the first half of this year with our capital spend, and you saw in our guidance. We're going to spend money on refreshing our fleet, refreshing our mowers. Our core production vehicle fleet was, call it, about 10 years old on average in 2023. Now it's about cut in half. It's going to be less than 5 years old when we get those 1,000 production vehicles put into service this summer. And our mower fleet was older than 3 years old on average. And I'm happy to report that's right within our target age and less than 2 years and really almost an average of a year right now with all the refresh we've done. So that's going to lead not only to employee satisfaction and customer retention. That leads to less maintenance and repair cost and more efficient use in the business. The second thing I would add is, look, if something happens with tariffs and vehicle prices, lower prices, et cetera, go up in the new purchase market, we should see our residuals also go up correspondingly in the resale market. So we feel like our age of our fleet is in such a better spot now that if something happens where our vehicles or mowers or equipment goes up significantly, that secondary resale market, that residual we get that nets down our CapEx, that should also increase significantly. So we feel good about where we're at today. Things could obviously change. We've made a lot of great progress. But the key here is we will generate cash in this business, and then we'll use that cash to make sure we reinvest into the right areas.
Andy Wittmann : My follow-up is on development margins. They were obviously very, very strong. It's been almost a year since you've had the One BrightView. And I think that is probably a really important driver here. There are other factors. And Brett, I thought maybe you could just talk about how some of the projects may have closed out this year, if there was any positive adjustments there that helped the margins. And just to level-set things, obviously, you've got your margin guidance for the year. It implies obviously a deceleration from this ridiculously high level. But like is it a tougher comp world? And as we look out not only to the second half of the year but maybe on a long-term basis, what becomes the right way to think about the margin progression in that business?
Dale Asplund: Yes. Great question, Andy. The development business has been the biggest benefactor of the One BrightView strategy and getting everybody to work together. They were able to leverage resources across the company that traditionally were siloed. So if you go back and look at the last 4 quarters, when we put the strategy in place a year ago, that business is up 320 basis points, 300 basis points, 390 basis points and then 410 basis points. So we're going to lap that next quarter, but we still feel there's so much upside. Brett said it, we have the best development business across North America, bar none. We only have 30 locations right now. I am a firm believer that the talent we have in that business can help us grow that business and continue to feed our overall maintenance business. So the margins continue to grow. How we continue to leverage our estimating resources, our design resources even to drive more revenue will just keep that margin expanding. We are, since going public, today on a trailing 12-month basis at the greatest development margin this business has ever seen. So we're positioned well. We continue to see growth in that, maybe not at the 100 to 400 basis point level, but we will continue to expand margins in the back half of this year and into '26. Brett?
Brett Urban: Yes. Q2 saw some -- Andy, as you mentioned, saw some favorable job closeouts in Q2 where we were approaching the end of a job. And we were able to take some more profitability than originally anticipated. That was, call it, $1 million or $2 million in the quarter. But generally, as Dale just mentioned, I mean this business has been on a tear from a margin improvement perspective. And most of that is related to really that One BrightView culture operating together, tearing down those silos, centralizing some of the support functions. We do expect margin improvement, by the way, in the second half of the year if you look at our guidance, won't be at that same 300, 390, 410 basis point mark, but we do expect that business to continue to improve margins. And the exciting part about it is, like Dale said, we have 30 branches in development. We have over 250 branches in maintenance. So the more we can have that tip of the spear in locations -- like we are today in Destin, Florida. We don't have a development branch in Destin, Florida. We have a great business here. We're sitting with our branch management team in the room. This is an area that just gives us another opportunity to expand that development arm. We don't need to do it through M&A, right? We have the best in the industry. So we feel like not only margin performance in the back half of this year is going to improve, but as you think about future growth of this development arm to our portfolio, we have a lot of areas geographically that we can definitely expand into.
Operator: We'll go next now to Toni Kaplan with Morgan Stanley.
Toni Kaplan : I was hoping you could maybe elaborate on trends you're seeing within client conversations from sort of the beginning of the year -- calendar year, January, February versus more like what you're seeing in April, May, whether you've seen any changes in terms of demand or price pushback or just decision-making timing? Any sort of changes or if things are just still steady as they go?
Dale Asplund: Yes. I think what we saw as we went through Q1, right, through March was great communication with our customers. We talked about we had a little headwind in our land business from snow. But our customers were eager for spring as most people are. We all know it's been turbulent here in the month of April, and our customers are feeling that. Many of our customers are probably -- they're just as open to having conversations with us to get quotes to do their enhancement work and to get their job sites looking great, their corporate campuses, their HOAs. But you can see, Toni, that there is a little more hesitation with customers to sign the deal for us to go get the work in the ground. But it could just be a short-term glitch. We have more paper than we've ever had out there for quotes. So we feel good about it. But look, there's a lot of unknown. And I think everybody knows, we'll manage this business whether the economy is strong or whether it weakens. The toughest thing to do is manage it in the unknown because we're here to take care of our customers. They've got to let us know what they need from us, and we're going to take care of it. But yes, I think if you talk to anybody across corporate America, I think people will tell you that the tone has changed from one of optimism probably in March to one of hesitation as they went through April and early May, but that's short term. We all hear things on the news every day. Our focus is on the long-term growth of this business. So we're just going to keep telling our customers the same thing, "Whatever you need from us, we're here to do for you," and that's what's key.
Toni Kaplan : Great. And then as a follow-up, I was hoping you could maybe just give a bit more color on the ancillary business. You mentioned that there's a decent part that's recurring. Maybe just give some color on the services that are within that bucket and how they have performed during prior slowdowns versus the part of ancillary that's a little bit more discretionary or a little bit more volatile during prior downturns.
Dale Asplund: Yes. So I think I'll let Brett talk about the past, but I would just tell you, we have, in some of our contracts obviously, spring openings and fall closing, irrigation work, that type of stuff, even initial mulching and initial flowering. It can be some of the similar work, Toni. It can be, we just do more flowers and we do mulch a few more times a year or it's enhancement work that really drives that discretionary. But let me let Brett kind of talk about the last time we saw a disruption.
Brett Urban: Yes, Toni, I'll go back to history in a second, but look, we feel great about the business model. We feel great about the quarter we just posted first half start to the year. We feel great about what we're doing from a strategy standpoint internally. Dale mentioned it several times now. We have more paper on the street to sell that little gray piece of the pie on Page 11 than we've ever had in the past, right? 90% of our business right now, sitting here on May 8, we feel is very predictable, very reliable and really is recurring in nature. Even the development piece, we're selling into 2026 now work we're going to perform in 2026. So yes, could there be some timing shifts? Sure. But we feel really great about the line of sight into 90% of our business right now. And even some of that "ancillary" work is included in the 60% predictable bucket because that's mulching, it's spring start-up, it's pruning, it's tree trimming, it's irrigation start-up, et cetera. All that stuff is going to happen like it normally would. We have a small piece of the pie, which is really true enhancements, right? It's 10% of our total pie. Excluding snow, total pie is $2.6 billion, so 10% would be roughly $260 million. 1/3 of that already is completed in the first half of the year. So it leaves us about $170 million to, call it, fill through the back half of this year. And that's projects like, I don't know, a new garden or a new rooftop garden or you want to make an enhancement to an area, a patio area or something like that. May a customer, based on the macro, decide to hold tight a little bit on that or maybe delay it a month or 2? Maybe. We're not seeing that right now, By the way, to be clear. We're not seeing any type of buying pattern change, but we are in the middle of our selling season as we speak. We have more paper on the street than we ever have. So we'll see where it plays out. We wish we weren't sitting here today with some of the noise in the markets, but I think we feel best positioned ever than we have been as a business especially given the resilient nature of our revenue mix.
Operator: And we'll go next now to Zack Pacheco with Loop Capital.
Zack Pacheco : Congrats on the strong results. Just quickly following up on development, it sounds -- obviously, it's kind of been harped on that the backlog remains strong, the book of business full into next year. But kind of just looking forward, I just want to ask specifically like on current bidding and bidding activity, have you seen any shift or -- given the macro? Or is the backlog growth the way you see it just continuing to trend strong?
Dale Asplund: Yes. Good question, Zack. Have we seen anything on bidding? No. Customers are still asking us for quotes. Are we seeing things on locking in the contract? It's just the timing. This is the time of year. We are always selling that business, and we're just trying to get it from paper quote to contract. But we've seen nothing that's going to alarm us on that business. And like we've said, we have so much upside to expand that business organically into different markets. Development has huge upside for us. Whatever happens in the economy, we have so much opportunity to grow our overall development business. Those people are the most skilled people in that industry. We need to fund them. We need to give them fleet. We need to promote them to go out and grow the business. So we are positioned well. It's the same stuff we're feeling on the maintenance side. We put on a lot of people. Customers are making a decision. We're not going to overreact. We're working with them to decide. When the time is right, we'll get us locked in.
Brett Urban: Yes, Zack, just keep in mind, development is that tip of the spear, right? Development work kicks off maintenance work. So the one thing we have huge opportunity, like Dale said, that's a $20 billion-plus market, and we have roughly $850 million of it. And if you think about just our geographical presence, we have maintenance in 39 states. We have development in about half of those 39 states that overlap. So like Dale said, there's a huge market there. There's tremendous opportunity. We're sitting here in Destin, Florida with our maintenance branch here. This is a great example of an area that we could easily use our expertise internally and open up a development branch and capture more of that $20 billion pie. So we haven't really seen any buying patterns change yet. And I think we have a tremendous opportunity to continue to grow this business.
Zack Pacheco : Got it. That makes sense. And then lastly, just any more color on the ramping of the sales force initiative? I know you talked about it in the Investor Day, but quickly, like how are you guys thinking about the pace of the back half and where you think you'll be at the end of the year? I guess really just how much more hiring and/or training needs to be done to reach the level of productivity desired?
Dale Asplund: Look, I think the productivity will happen over years. I would just say we're in a great spot on the hiring initiative. Our HR recruiting team have done a great job getting us people. We're continuing to focus on adding training so that they can be productive as they go out there. And you can guess, Zack, new reps to the industry could take 6 to 9 months to really become productive, where people that we're getting that were already in the industry, they can hit the ground running a little more. We said we're going to grow our sales force by 50%. That includes both the people that interact with our customers on ancillary, our account managers as well as our business developers. We are progressing very well in that journey as we go through 2025. We'll look to update on actual numbers as we go forward, but we feel great about where we're at as we sit today.
Operator: Ladies and gentlemen, it appears we have no further questions this morning. Mr. Asplund, I'd like to turn things back to you, sir, for any closing comments.
Dale Asplund: Thank you, operator. And I know we've got a little over, but I think it's important with the interest, and I appreciate everybody joining the call today. I will close by reiterating that we have made such great progress in a short period of time. But I'll remind everybody, this is just the beginning. Our resilient and predictable business model, despite the uncertain macro, gives us the confidence to raise guidance across those 3 important metrics. We continue to make significant strides in solidifying our One BrightView strategy and managing our business for the long term, which will ultimately position us as both the service provider and investment of choice. Once again, I thank everybody for their interest in BrightView, and we look forward to speaking to you in 90 days. With that, operator, we can end the call.
Operator: Certainly. Thank you, Mr. Asplund. Again, ladies and gentlemen, that will conclude today's BrightView earnings conference call. Again, thanks so much for joining us, everyone, and we wish you all a great remainder of your day. Goodbye.